Operator: Hello, and thank you for standing by. My name is Tiffany, and I will be your conference operator today. At this time, I would like to welcome everyone to the ADT Second Quarter 2025 Earnings Call. [Operator Instructions] I would now like to turn the call over to Elizabeth Landers, Vice President of Investor Relations. Elizabeth, please go ahead.
Elizabeth Landers: Good morning, and thank you for joining us to discuss ADT's Second Quarter 2025 results. Today's speakers are Jim DeVries, ADT's Chairman, President and CEO; and Jeff Likosar, our CFO. After their prepared remarks, we'll take analyst questions. This morning, we issued a press release and presentation summarizing our financial results. Both are available at investor.adt.com. We'll reference our non-GAAP financial measures today. Reconciliations to the most comparable GAAP measures are included in the earnings presentation on our website. Unless noted otherwise, all financials and metrics discussed reflect continuing operations. Non- GAAP cash flow measures include amounts related to our former solar business through 2Q 2024. Forward-looking statements included in today's remarks are subject to risks and uncertainties. Actual results may differ materially. Please refer to our SEC filings for more details. And now I'm happy to turn it over to Jim.
James David DeVries: Thank you, Elizabeth, and good morning, everyone. I am very pleased that ADT is reporting yet another quarter of strong financial results and cash generation as we continue to execute on our 2025 strategic priorities. Our results continue to demonstrate the resilience of ADT's business model. ADT ended the second quarter with another record recurring monthly revenue balance of $363 million, which was up 2% year-over-year. We continued to grow total revenue, up 7%, while balancing profitability and investments for the future. We also delivered very strong adjusted earnings per diluted share of $0.23, an increase of 35%. Cash flow continues to be a highlight with adjusted free cash flow, including interest rate swaps of $500 million through the first half, up 38%. This strong cash generation has enabled us to return $589 million year-to-date to ADT shareholders through share repurchases and dividends. Our customer retention also remained solid with attrition at 12.8%, down 0.1 point from last year's second quarter and slightly higher than last quarter's record performance. I'd also like to note that during the second quarter, we completed a strategic customer portfolio acquisition of approximately 50,000 subscribers for $89 million. Jeff will provide more details about our results and full year outlook later in our call. First, I'd like to spend the next few minutes updating you on ADT's strategic focus areas, which remain consistent with the themes we've discussed on previous earnings calls. We are very proud of our progress to date and our progress towards delivering on our full year 2025 commitments. As I mentioned earlier this year, our primary objectives in 2025 are to continue execution of our strategy and importantly, optimize and complete the rollout of our newly developed and launched capabilities, platform and offerings. ADT's mission remains clear: to empower people to protect and connect what matters most, delivered through our differentiators, unrivaled safety, innovative offerings and a premium best-in-class customer service experience. As always, we are relentlessly focused on delivering unrivaled safety and peace of mind to our over 6 million customers who trust us to keep them safe every day. We continue to invest in our core monitoring capabilities, including the technologies and redundant infrastructure that have enabled 100% uptime throughout the first half of 2025. We also continue to advance new technologies and introduce features such as Alarm Messenger, which has enabled more than a 50% reduction in false alarms this year. One of the key components of our strategy has been investing in our product and experience ecosystem to develop new and innovative offerings for our customers. This includes further expansion of our ADT+ platform to a larger percentage of our new customers, increased availability across additional sales channels and enhanced capabilities to enable existing customers to enjoy some of the features available to new customers. We continue to see an increasing percentage of our new customers select our new ADT+ platform who are also choosing larger and more comprehensive systems. With our reduced use of discounts and promotions, this is driving average installation revenue to approximately $1,500 per unit. Another contributor to this strong revenue is our trusted neighbor offering, which continues to generate positive customer feedback. As a reminder, this feature allows our customers to grant trusted individuals temporary access to their homes. In April, we enhanced this offering with the launch of the new Yale Assure Touch smart lock, which integrates seamlessly with ADT+ and Trusted Neighbor for an elevated security experience utilizing fingerprint recognition. In addition to these innovative offerings, we remain focused on delivering the best-in-industry customer experience. We are pleased that ADT's customer satisfaction remains at a 3-year high, including a record NPS during the month of June. ADT's results demonstrate the cumulative benefits from our focus on continuous improvement across customer experience metrics, agent satisfaction and areas such as virtual service, first call resolution, customer onboarding and agent training. Additionally, our partnership with Google remains strong, and our Nest Aware subscriber base has now surpassed 1 million customers, highlighting the continued strength of our collaboration and growing smart home adoption. Turning to our State Farm partnership. Since our original launch, we have generated slightly more than 30,000 subscribers. While this volume is below the level we projected at this stage of the partnership, we're pleased that these customers report high satisfaction with the program. As we near the 3-year anniversary of our partnership, we're working together on redesigning our approach and leveraging our combined learning to explore a new program related to prospective movers who are relocating. We hope to gain more traction with this new approach. We also remain pleased with our progress with ADT's Remote Assistance program and early artificial intelligence efforts. Approximately half of our service calls continue to utilize remote alternatives rather than requiring in-home service visits, allowing us to efficiently serve our customers while avoiding thousands of truck rolls, which ultimately contributes to reductions in our field service costs. Our initial AI efforts remain focused on our customer care operations with an emphasis on improving the customer service experiences for both our ADT customers and our employee agents while also improving overall efficiency. We built on our first quarter AI progress with 90% of our customer service chats processed by AI agents, and we are now resolving nearly half of these chats without the need for a live agent interaction. Utilizing the knowledge we've gained from our experience with chat, we have now started our initial rollout of AI agents for voice calls. We remain excited about the opportunities to leverage AI to support and serve our customers more efficiently. In closing, I am confident in ADT's outlook, and we remain committed to delivering value for our customers, employees and shareholders. I want to say thank you to the entire ADT team for their dedication and performance. I remain incredibly proud of this team as well as encouraged for the opportunities that lie ahead. Thank you for your time today. I'll now turn the call over to Jeff.
Jeffrey A. Likosar: Thanks, Jim, and thanks, everyone, for joining our call today. I'll take the next few minutes to share some additional details on our second quarter results, along with an update on our full year outlook. Like Jim, I'm very pleased with our first half performance and our progress towards achieving our full year 2025 objectives. As Jim mentioned, our very strong cash flow remains a highlight. We generated $274 million of adjusted free cash flow, including swaps, in the second quarter and $500 million through the first half, up 38%. Adjusted net income for the quarter was $191 million or $0.23 per share. And year-to-date, we have generated adjusted earnings per share of $0.44, up 22%. Adjusted EBITDA for the quarter was $674 million, up 7%. Key drivers of this performance include our RMR growth, overall efficiency and the nonrecurrence of a prior year legal settlement. Our adjusted earnings per share also benefited from our repurchases enabled by our strong cash generation and efficient capital structure. Our top line was also very strong with total revenue up 7% to $1.3 billion. Monitoring and services revenue was up 2%, driven by a record $363 million RMR balance, also up 2%. Installation revenue was $197 million, up $60 million, driven by our continued mix shift to our ADT+ platform and the outright sales of relevant equipment. During the quarter, we generated 242,000 new subscriber additions, adding $14.3 million of new RMR, inclusive of our bulk accounts purchase. Another highlight in the quarter is that our leverage ticked lower and is now at 2.8x adjusted EBITDA with net debt of $7.5 billion. Additionally, we continue to enjoy a very efficient weighted average interest rate of approximately 4.4%. We finished the quarter with $45 million of unrestricted cash on hand and no outstanding revolver balance. I'm also happy to share that we recently received lender commitments to fund an incremental $550 million of our existing 2032 term loan. The pricing on this facility is very favorable at SOFR plus 175 basis points. We also entered into swaps to fix the effective interest rate, which at a little over 5.3% is lower than the 5.75% April 2026 notes we will redeem with the proceeds. We expect the loan transaction to close tomorrow and along with our ongoing cash generation, are very well positioned to repay our remaining 2026 notes. As Jim mentioned earlier, we continue to return significant capital to shareholders, enabled by this efficient capital structure and our cash generation. In addition to our $47 million dividend payment, we repurchased and retired 12 million shares during the quarter for an aggregate price of $96 million. Through the first half, we have returned $589 million to shareholders. As we look to the second half, we are on track to deliver full year results consistent with the guidance we shared in February. We are, therefore, reaffirming our full year guidance ranges for total revenue, adjusted EBITDA and adjusted free cash flow. Additionally, we are increasing our adjusted earnings per share range by $0.04 to $0.81 to $0.89 per share, reflecting our lower diluted share count. I will note that the timing of marketing expenses, working capital flows, cash interest and potential tariffs will affect our second half relative to the first. We expect third quarter adjusted EBITDA and EPS to be similar to or slightly lower than the second quarter and a larger sequential decline in adjusted free cash flow. The most significant specific driver is the timing of cash interest, which we expect to be approximately $70 million higher in the third quarter. Despite ongoing uncertainty as to the exact amounts, we continue to believe we can absorb our tariff exposure within our full year guidance ranges. With the first half of the year behind us, I am exceptionally pleased with our progress and remain confident in delivering our full year objectives. Like Jim, I want to thank all our employees, partners, customers and investors for helping us deliver a very strong first half of the year. Thank you, everyone, for joining our call today and for your support of our company. Operator, please open the line to questions.
Operator: [Operator Instructions] Your first question comes from the line of George Tong with Goldman Sachs.
Keen Fai Tong: You completed a bulk account purchase for $89 million this quarter that added around 50,000 customer accounts. Can you talk more about what made this account purchase -- bulk account purchase economically attractive and your appetite for future bulk account purchases?
James David DeVries: Sure, George. It's Jim. We have, as you know, executed bulk deals in, I think, 5 of the last 6 years. In Q2, we brought on, as you mentioned, 50,000 accounts. These were acquired from a single seller. The accounts had high density, good credit scores. As you know, we always build in attrition protection for ADT, and we did so again this time. The returns for bulk are generally consistent with our dealer business. The bulk pipeline is strong. I'd say probably stronger than we've seen even in the last couple of years. And we'll continue to review bulk as an option for incremental subscriber adds.
Keen Fai Tong: Great. Very helpful. And then can you provide an update on your State Farm partnership, how that's tracking in terms of new states being launched and new customers being acquired?
James David DeVries: Sure. So I mentioned on the call, our program to date subscriber adds is right around 33,000. Candidly, George, the trajectory has been positive for us, but the pace and the volume isn't what I think either party had hoped to achieve. We're right now in the process of designing a new approach that's focused on movers, on prospective customers who are relocating. It's not necessarily the last effort in trying traditional distribution with State Farm, new states, the same tactics that we've been focused on in the past, but it's a fresh tactic, and we'll lean in and see if we can get some better traction here. Lastly, it's probably worth mentioning, we conservatively budgeted new subscribers from the State Farm partnership. We're hopeful -- I'm hopeful the new approach carries some momentum. But even if it doesn't, the results won't be material to our gross adds budget or delivery of our financial commitments. Thanks for the question, George.
Operator: Your next question comes from Peter Christiansen with Citi.
Peter Corwin Christiansen: Nice results here, gentlemen. I want to get back to the bulk purchase that you did in the quarter. We figure LTV to CAC somewhere in the mid-3s potentially, but -- which sounds great. I was just wondering, Jim, can you just talk about -- when you do -- when you think about these bulk purchases, the opportunity to uplift a lot of these customers, convert them on to new systems, how do you think about the incremental value that you can drive by fully merging these customers onto the ADT platform, particularly with a lot of the new products and solutions that you've been delivering?
James David DeVries: Yes. Thanks, Pete. So the playbook for us on bulk is a well-established playbook. We have a team that's focused on it. We do a really good job converting customers. There's some, to be frank, some heightened attrition at the beginning of the conversion. That's why we build in the attrition protection usually for 12 months, sometimes a little bit longer. But the swing to our monitoring and our service is something that we do well. I mentioned, Pete, we always look for high density, have accounts in a concentrated geography that helps us with service costs. We are conscious of the equipment that we're acquiring. This most recent acquisition, bulk acquisition had high-quality equipment we feel great about. And so -- and then we pay a lot of attention to the credit scores and ensure that we have a high credit quality customer when we bring them on board. But all in all, I think it's a well-worn playbook, one that we execute well. And I'm optimistic this will be a supplemental way for us to grow subscribers going forward.
Jeffrey A. Likosar: And one point I might add is, as Jim notes, the returns are very strong. You can think of it similar to dealers, a little bit less efficient at the time of acquisition, your point about the acquisition cost, but it's because we have insight into the other characteristics, including the attrition protection, including knowledge of the account base. But your specific question about seeking to upgrade those customers or have additional sales or revenue opportunities over time. We don't underwrite based on that, but that for sure would be an opportunity. But we speak of the terms where we're not banking on that.
Peter Corwin Christiansen: That's good to hear. It certainly sounds like a lot of opportunity with [indiscernible] of the customers. Jim, I also -- I would love to dive a little bit into Trusted Neighbor. What are you seeing from initial feedback there and pickup of the product? How do you see things trending with that new launch?
James David DeVries: Sure. So some context that I shared on the last call, and I'll share on this call. And is that Trusted Neighbor is the initial product to launch. It's the first part of an overall product-led strategy to drive growth for us. Trusted Neighbor was launched in August of '24. It's still relatively early, but we continue to be optimistic, Pete. Trusted Neighbor represents, I think, something north of 10% of our do-it- for-me installations. And the customer response has been really positive. Our field sales and technician response has been positive. And very importantly, the average installation revenue for our installs that include trusted Neighbor is north of $2,500, pretty meaningfully above our overall average. So it's got good traction out of the gate and feel great about the install revenue.
Operator: Your next question comes from the line of Manav Patnaik with Barclays.
Ronan Kennedy: This is Ronan Kennedy on for Manav. You mentioned, Jim, in the prepared remarks, efforts around increased availability across additional sales channels. I think on the prior calls, you talked about an emphasis on sales process and go-to-market optimization initiatives, refining structure, bundling, pricing, marketing. Can you provide more color around these and an update? And if, for example, that includes a more deliberate focus on DIY or other efforts?
James David DeVries: Sure. Ronan, thanks for the question. The -- we're always working, I think, on sales process and optimization, testing new bundles, testing new pricing. One of the more meaningful shifts that we've undertaken over the course of the last 12 months, and I'd say accelerated in the last 6 months or so is a process change to focus on what we call tech engineers. And so the customer is sold an initial basic system. And when the tech engineer arrives at their home, arrives at their premise, the technician both sells and installs the equipment in one consistent motion. We've had really good success with install revenue using this technician engineer construct. The customer feedback has been positive because the sale and install can happen simultaneously. And it's been a nice change and a nice win for our organization. But across all offers, pricing, process, we're constantly adjusting the knobs and dials, Ronan, and trying to improve conversion.
Ronan Kennedy: That's very helpful. If I may go to attrition for a follow-up, actually a 2-part question. Can you provide color on the drivers of attrition? And then as far as relocation having been a headwind to gross adds, but a tailwind to attrition, how should we think about the puts and takes to that under different scenarios of the housing market, say it continues to remain challenged versus when it picks up? And if there's anything to be mindful of there such as lapping a relocation tailwind benefit?
James David DeVries: Sure. So a little bit of color on attrition, specifically related to relocation. As you know, we ended the quarter at 12.8% attrition, down 10 basis points from last year, a couple of ticks up sequentially. Color on Q2, nonpayment cancellations were modestly higher than last year. Relocation losses were actually modestly lower than last year. Voluntary losses were a bit worse than last year. We had a large loss in our multifamily business that accounted for about half of our voluntary losses. Save rates were modestly down as well. But all in all, a pretty good quarter for us. You're right that relocation losses, relocation being down is a good guy when it comes to attrition and a bit of a headwind when it comes to gross adds. But despite that fact, we had a pretty decent quarter on the gross adds front, and as you heard a minute ago, supplemented by some pretty good return bulk. So last thing I'll mention on attrition. The -- we are -- we continue to feel optimistic. I think this was in the prepared notes. Our NPS continues to improve. We had our best scores in 3 years on NPS, all-time record in June. Call center metrics are clipping along nicely for us, continue to improve. And our -- the customer response to self-service has been really positive. So -- as I said a bunch of times, attrition won't be -- attrition improvement won't be linear, but we are optimistic about where it can go longer term.
Operator: Your next question comes from Ashish Sabadra with RBC Capital Markets.
William Qi: This is Will Qi on for Ashish Sabadra. Wondering if you could maybe spend a little bit of time just on your views on the macro environment. I know there's a lot going on, but curious how you're seeing kind of the general end client behaving, there's any developments on that? I know you mentioned kind of a modest uptick in slower payments in the prior quarter, though not notably material, but curious if there's any updates on that front.
James David DeVries: Sure. Thanks for the question. I'd start with some context. Our business, we feel is very resilient in most any environment. And while we're not insulated from the macro environment, we tend to be an organization and have a model that performs well in any environment. Relocation is trending down, I think, across the country a bit. That, as I mentioned on the earlier question, provides a bit of a headwind when it comes to gross adds, fewer bites at the apple, but it's a nice tailwind for us on retention. Nonpay has increased from last year. We're watching it very closely. The increase has been relatively modest in nonpay cancellations. Labor markets cooling a bit. That's been helpful to the cause from an employee retention perspective. And then I'm not sure if it's considered macro or not, but we're watching tariff pressures closely. That's obviously difficult to predict given the frequency of change. We have a team focused on it. And as Jeff mentioned in his prepared remarks, we can manage the net exposure to tariffs within the '25 guide.
Jeffrey A. Likosar: And one thing I would add on the resilient point is, as you know, most of our revenue is recurring in the truest sense of the word recurring. So as and if we start to see trends or dynamics, we tend to see them with enough foresight that we're able to make other adjustments in our business, which is why we're able to -- even in this environment, even with some uncertainty, affirm our guidance and as you saw, increase our EPS guidance in the results or the release we put out today.
William Qi: That's very helpful. And maybe just a follow-up on the State Farm side. Curious if you might be able to provide additional color on some of the learning points on the initial stages of the partnership and how that's informed the new redesign strategy.
James David DeVries: Sure. The central thesis is one that I continue to believe that by having monitored, professionally monitored 24 devices in the home that, that can be a source of claims mitigation, large claims mitigation in fire and water in particular. And I also think that there is the potential to use the data with customer consent, use the data that the sensors provide to help provide more sophisticated, more precision in the pricing algorithms. The new program that we're contemplating is focused, as I mentioned, just on movers, customers -- prospective customers that are changing geographies and we're working together with State Farm and an external organization that has some very deep digital expertise to design a new tactic around those movers and see if we can't get a little more volume than what we've had to date.
Operator: Your final question comes from Toni Kaplan with Morgan Stanley.
Yehuda Silverman: This is Yehuda Silverman on for Toni Kaplan. Just had a question on subscriber growth and demographic trends in general. So it's been relatively stable past few quarters and years around 6.4 million customers. Just curious, aside from bulk purchases, what are some ways that you could take market share? Are there any changes to your target demographic or any products or themes that you think are shaping the industry in the midterm or the long term?
James David DeVries: Sure. I think on the -- so we continue -- I continue to be bullish on our core DIFM business. I'm excited about the product road map. I like what the direction we're heading in terms of premium customer service. There's some differentiation that I think we'll be able to deliver around monitoring, quality and speed on the monitoring front, and so continue to be bullish on DIFM. DIY for us, we had tightened our credit standards. We were returns focused. We're making some changes to the go-to-market on DIY, the product set and cost in DIY so that we can more assertively compete in that space. So it's a little bit of a hiatus the last handful of months. And I think by the end of this year, early '26, we'll be able to compete more effectively in DIY. And then I continue to be bullish on the small business channel. That, too, is an area of increased focus for us. We have a new leader over the SMB space. And I think that's the third leg of the stool that helps us get some traction on gross adds. We also have been talking a couple of times on the call about bulk acquisitions. Frankly, our dealer channel was down a little year- over-year. We replaced that volume with bulk acquisitions. But I think dealer will get back on track in the second half and bulk opportunities are more plentiful than what they've been historically.
Jeffrey A. Likosar: And I would add to a little bit further to -- I believe it was Ronan's question about optimization and a lot of those things are to do with the nature of offer the recurring price versus the upfront price when we offer financing and when we don't, some of those when Jim says knobs and dials. But there's also things related to that to do with features. And one of the reasons, in fact, the main reason that we transitioned to our proprietary ADT+ platform was to enable things like Trusted Neighbor. And we continue to make adjustments, some smaller, some larger, including some of the things that you see with respect to biometric lock, the HomeAway automation feature that we noted. And those are also the kinds of things that we're able to put in front of customers who are more attracted to a particular feature or a particular use case. And as we look beyond 2025, we would expect more of that as a means of driving growth as well.
Operator: That will conclude our question-and-answer session. And I will now turn the call back over to Jim DeVries for closing remarks.
James David DeVries: Thank you, Tiffany, and thanks, everyone, for taking the time to join us today. ADT had a strong quarter and a strong first half of the year. We're confident, as we reiterated earlier, in achieving our financial commitments for 2025. I'd like to again extend my appreciation to our ADT employees and dealer partners. Thanks again, everybody, and have a great day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.